Operator: Good day, and thank you for standing by. Welcome to the Canada Goose Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Amy Schwalm.
Amy Schwalm : Thank you, operator, and good morning, everyone. With me are Dani Reiss, Chairman and CEO; Jonathan Sinclair, EVP and CFO; and Carrie Baker, President. Our call today, including the Q&A portion, includes forward-looking statements. Each forward-looking statement, including without limitation, discussion of our financial outlook is subject to risks and uncertainties that could cause actual results to differ materially from those projected. Certain material factors and assumptions were considered and applied in making these forward-looking statements.  Additional information regarding these statements, factors and assumptions is available in our earnings press release issued this morning. Our updated strategic growth plan and 5-year financial outlook press release issued on February 7, 2023, as well as in the Risk Factors section of our most recent annual report filed with the securities regulators. These documents are also available on the Investor Relations section of our website. The forward-looking statements made on this call speak only as of today, and we undertake no obligation to update or revise any of these statements. Lastly, our commentary today will also include certain non-IFRS financial measures, which are reconciled at the end of our earnings press release.  With that, I'll turn the call over to Dani.
Dani Reiss : Thank you, Amy, and good morning, everyone. We had a strong fourth quarter at Canada Goose. Our stores are busy ability and the familiar lineups have returned. Our stores in every market performed well with profit rebounding, especially in EMEA and APAC. Our business in China had a strong recovery from our third quarter in fiscal 2023 and has continued its momentum into fiscal year-to-date. We've seen the same momentum continue across all of our key geographies beyond the fourth quarter, which is a clear indication of the strength of our brand and the demand for our performance luxury products. This is a great position for us to be in as we execute against our strategic growth levers, which are accelerating our consumer-focused growth, building our direct-to-consumer network and expanding categories.  As I look back at our fiscal 2023, we closed the year having grown top line revenue to more than $1.2 billion. We have made important progress against our growth plan, including investments in CRM, digital, people and DTC expansion. Store traffic continues to improve as consumers seek out our award-winning in-store experience. We've also seen a return to a more normalized operating environment, especially in China with the lifting of COVID restrictions late in our third quarter. We grew our store footprint, opening 10 permanent stores in fiscal 2023, increasing our global store fleet by almost 1 quarter.  Consumer trends are beginning to normalize. This includes encouraging initial international travel data that we're seeing across many of our key markets. Wholesale ended the year well and remains an important channel for us as our DTC network expands. As we conclude fiscal 2023, we have a strong foundation in place to execute against our strategic growth levers going forward. And looking ahead, we are confident that the momentum we have built in our business will continue to build. At our Investor Day in February, we outlined our longer-term plan, we are committed to our strategy to accelerate our growth, targeting $3 billion in revenue with adjusted EBIT margin of 30%. In fiscal 2024, we plan to accelerate our revenue and profitability, leveraging the investments we've made over the past year. We plan to generate revenue growth of 15% to 23%. We're targeting our adjusted EBIT margins to be between 15% to 16%. Fiscal year 2024 will be another year of investment in our business, and we expect to realize margin benefits progressively as we drive towards our long-term target. Later, you will hear more from Jonathan as you provide a deeper dive into our outlook for this fiscal year. The path is clear and driven by 3 strategic pillars. First, we are accelerating our consumer-focused growth. We have a tremendous opportunity to further build loyalty in our current and new customers. We've seen growth in our repeat customer cohort. We ended fiscal year 2023 with repeat customers making up almost 1/3 of our base. We plan to continue our focus on growing this metric through shifting marketing investments to drive greater ROI conversion and ultimately, lifetime value. And in fiscal year '24, we will begin to further unlock our CRM opportunities, leveraging our customer data platform to segment and personalize engagement with our clients through all touch boards much more meaningfully. Lastly, this year, we plan to launch travel retail. We know travel is important to our customer and meeting them at a holding new stage of their journey as a part of our commitment to consumer-focused growth. This year, we plan to open 2 to 3 locations, and I look forward to updating you on our progress as it evolves. [indiscernible] is building our DTC network. Over the next 5 years, we plan to more than double our retail footprint from our current base of 61 permanent stores. In the next year, we plan to open 16 permanent stores with new store locations in the United States, China, Japan and Australia. We expect the vast majority of the stores to be fully operational before our peak season starting in fall. When it comes to our store network, we are laser-focused on enhancing store performance to our digital platforms and in-store experience. We see a significant opportunity in our digital road map to support our goals by driving more traffic to stores helping our stores really know and connect with their high-value clients and optimize our inventory across our entire network.  Having an omnichannel approach is critical to our success, and we are making the necessary investments both in our people and systems. We are also excited to fully roll out omnichannel capabilities across Europe in fiscal 2024. Just last month, we announced the hiring of Matt Blonder, our first ever Chief Digital Officer. I'm very excited for Matt to lead the growth of our digital province globally.  Our third pillar is expanding product categories. At the end of fiscal 2023, we made important progress against this pillar. We continue to expand our product mix and grow our non-heavy weight down offerings, including categories of apparel, footwear and fleece. Non-heavy weight down now makes up almost 43% of our product mix, up from 38.5% in fiscal 2022 and 19% in 2019.  In this summer, we will launch our first performance sneaker collection, a huge opportunity for our company. The selection is style-forward, wearable year-round with the performance credential to suit any adventure. And early this fall, we plan to continue to expand our women's focused outerwear selection, following the successful expansion of a women's selection last fiscal year.  The new styles were incredibly well received with several SKUs landing in our top 10 styles for the season. As you can hear, we are full speed ahead in executing our 3 pillars, and we are clearly on our path to achieving our long-term goals. In the fourth quarter, we kicked off our multiphase transformation program. This is an evolution of our business to support both the strategic pillars and to take our business to the next level. Our work will focus on increasing operational efficiencies by optimizing production and procurement, developing people and resources and focusing even more on our consumers to drive sustainable growth, profitability and long-term value. We've already begun this work and it will roll out over a number of years.  Now let's turn to our fourth quarter financial results. As I mentioned earlier, we saw strength across our business, both on the top line and in our profitability. Our revenue grew 31% with strength in Asia Pacific, up 65%, EMEA up 27% and Canada up 41%. Our adjusted earnings per share were better than our expectations, up 250% versus the comparative quarter last year, growing from $0.04 to $0.14 per share. Now turning to regional updates across the globe. Last quarter, we discussed the disruption in Greater China following a wave of infections seen on the heels of a sudden lifting of cover restrictions in our busiest season. Since then, we have seen a noticeable pickup in sales. Mainland China reported a record growth rate of approximately 40% versus last year, and APAC DTC comp growth was up 23.5% versus last year. Our payroll collections saw notable growth in APAC in the quarter, more than doubling compared to the same quarter last year, approaching $10 million in revenue.  We also saw strength in our EMEA business. Over the last 2 years, we have seen EMEA gradually stabilize with a steady growth in tourism, still below the benchmarks we saw in 2019 with a lot of potential offset. As well, almost all of our European stores were opened during COVID and are now benefiting from a more normalized operating environment. Lightweight down was a standout performer across EMEA in the quarter, with category revenue growing more than 30% in the prior year quarter. Lastly, in North America, where we saw mixed results across the region. As we expected, we saw softer sales in the U.S. in our fourth quarter, with the overall growth we saw across our stores was offset by lower e-commerce results. We attribute this to the macro environment in the quarter where economic uncertainty affecting consumer behavior. The U.S. saw an acceleration at the end of the quarter through to the current quarter to date, which provides us confidence that the business is recovering. Canada performed well in the quarter up 41%. I'm pleased to see one of our most mature markets driving such strong results. Our apparel selection was the fastest-growing category in North America and Canada growing more than 170% compared to the same quarter last year.  As I look back at 2023, was a year of measured growth through uncertainty. We ended fiscal 2023 in a strong position, and I'd like to thank all of our teams who always put our customers first. And I'm looking forward to the years ahead. We have seen some early and encouraging signs and strong momentum across our markets. I'm also looking forward to the expertise that our new leaders will bring to our business, especially at such an exciting time of transformation and investment. And finally, I'm really looking forward to seeing permits in Greater China to hit a year ahead.  And with that, I'll turn it over to Jonathan.
Jonathan Sinclair : Thank you, Dani, and good morning, everyone. Today, I shall be comparing the fourth quarter ended April 2, 2023 with the prior year quarter, which ended on April 3, 2022, unless I say otherwise. Overall, we were very happy with our results for the quarter. They were largely as expected and notably, we closed out the year with some excellent momentum in our Asia Pacific and EMEA regions. As anticipated and indicated with the Q3 results, the United States was somewhat softer with a tougher macroeconomic backdrop. Although still early days in a smaller quarter for us, we're encouraged by the momentum that we have seen across all regions in the first quarter to date. I'll go into a bit more detail here shortly. But first, some more color on Q4. Total revenue grew 31.4% to $293.2 million in the fourth quarter. DTC revenue increased 22.6%, driven by new stores as well as solid performance overall from existing stores. We ended fiscal 2023 with 51 permanent stores compared to 41 permanent stores at the end of fiscal 2022.  DTC Comparable sales grew 6.9% and 3.3% excluding Mainland China. And that was driven by growth within the existing store network more than offsetting e-commerce business as consumers return to experiential shopping. As Dani mentioned, we have plans to execute on a number of initiatives, many of which are digitally enabled, and that should help position us well to further enhance store productivity and e-commerce performance in the not-so-distant future. Wholesale revenue grew 30.4% in the fourth quarter on timing of shipments delayed from Q3 as well as higher order book values compared to the prior year quarter. Revenue from the Other segment was $20.2 million compared to $2.6 million in the prior year quarter, primarily due to higher product availability to employees, friends and family.  Now for performance by geography. In North America, revenue grew 41.2% in Canada, and that was partially offset by a small decline of 4.5% in the U.S. Asia Pacific revenue increased 65.4% without the disruptions from COVID-19 restrictions that existed in the comparative quarter. EMEA revenue grew 27.3% with strong growth across all channels. Turning to our profit metrics. Gross profit increased to $36.2 million, primarily due to higher revenue, partially offset by our gross margin decline. Gross margin of 64.9% was impacted by an increase in the obsolete raw material provision as we evolve the materials to be used in production. Gross margin was also impacted by higher product costs, resulting from input cost inflation, albeit that, that was offset by pricing and the impact of the fair value adjustment for inventory acquired through the Japan joint venture. DTC and wholesale gross margins were 73.3% and 35.6%, respectively. Our full year DTC and wholesale gross margins landed at 76.3% and 49.7%, respectively, as we expected. Operating income increased largely due to higher gross profit. That increase was partially offset by higher operating costs, and they related to increased headcount, our larger store network, higher consulting fees in support of our strategic initiatives, including the transformation program as well as costs associated with the Japan joint venture. Our adjusted EBIT increased to $27.6 million, primarily due to the higher gross profit and partially offset by higher operating costs, as I've just described in respect of the team, the store network and the operation of the Japan joint venture. Net loss was higher than the comparative quarter, primarily due to higher net interest, finance and other costs as well as the income tax expense, and that was partly offset by higher operating income. Adjusted net income increased from the prior year quarter due to the higher operating income offset by higher income tax expense. Now turning to the balance sheet. Inventory of $472.6 million compared to $393.3 million in the prior year quarter. Japan represented around $19.2 million of the inventory balance at the quarter end, and therefore, represented around 1/4 of the growth. Higher inventory levels are attributable to lower-than-expected sales in the Asia Pacific region for most of fiscal 2023.  As we said at Investor Day, we are focused on improving working capital and inventory turnover. However, we remain comfortable with finished goods inventory levels as the inventory composition continues to skew the high-margin evergreen finished goods. And raw material inventory levels were down 15% from the prior year. We ended Q4 with cash returns of $286.5 million compared to $287.7 million at the end of the comparative quarter. Net debt, including capitalized leases, was $468.1 million compared to $333.8 million at the end of the prior year quarter. We're very comfortable with net debt leverage of 1.7x adjusted EBITDA at the end of the quarter. The increase in net debt was primarily due to increased lease liabilities on retail expansion as well as, of course, as the financing needs of the Japan joint venture. During the quarter, we repurchased a little over 407,000 subordinate voting shares for a total cash consideration of $10 million.  Now turning to our outlook. We expect fiscal '24 revenue to be between $1.4 billion and $1.5 billion. This assumes that the macroeconomic environment does not worsen in any of our geographies. DTC revenue is anticipated to drive this growth and comprise mid- to high 70s as a percent of total revenue through the addition of new stores and stronger comparable sales growth. We're targeting 16 permanent retail stores and for them to be fully operational in the second half of the year. Approximately half are slated to open in Asia Pacific, with the vast majority of the remainder concentrated in the U.S. This assumes DTC comparable sales growth in the mid-single digits to mid-teens, excluding Mainland China, comparable sales growth is assumed in the negative low single to high single digits. Including expected revenue from our new travel retail channel, we assume a 6% wholesale revenue decline as we focus on expanding our retail store network as well as our ongoing editing and upgrading of wholesale partners. We expect our wholesale door count to decline approximately 6%, leaving it at around 60% of the size of the network at the time of our IPO. The challenges wholesale faces are sector-wide. And hence, we have, as always, manage the demand and continue to supply less than we are asked to keep the channel healthy and clean. This also gives us a space and opportunity to lean further into our DTC expansion where it creates further scope for margin expansion.  We expect the percentage of revenue generated across the quarters to follow a similar patent to fiscal 2023. In Q1, at 5%; Q2, at 20%; half the business in Q3 and the rest in Q4. This is anticipated to change in the next few years as we create new and expand existing categories for more all-season relevance. But I will say we are very familiar with and adjusted to the current shape of the revenue split. We assume consolidated gross margin will be in the high 60s as a percentage of total revenue, with DTC and wholesale gross margins remaining stable in the high 70s and mid- to high 40s, respectively. Moving to profitability. We expect adjusted EBIT of $210 million to $240 million for a margin of 15% to 16%. In fiscal '24, we plan to invest in talent, technology and of course, in our store network as we accelerate the expansion of our retail footprint. Flowing through, we expect adjusted EPS per diluted share of $1.20 to $1.48. And that assumes an effective tax rate in the low 20s as a percentage of income before tax. We assume weighted average diluted the of $106.3 million, and we do not consider any incremental share buyback activity. As you'll recall, we recently launched the transformation program as we first introduced it at our Investor Day in February. This is a multiphase, multiyear program intended on achieving meaningful change for the business. which is right at the beginning of its journey. It spans stores, sourcing, products, organization, marketing and technology and is thus far reaching in its scope. We expect it will contribute gradually and increasingly to our margin journey. Consistent with the $150 million goal we outlined in February.  Now we are 2 months into our program. And therefore, at this stage, we're about setting ourselves up with the work on each stream. So it's a bit too soon to include any benefits in our fiscal '24 outlook. As we progress, we expect to incur a number of onetime costs associated with external support and other implementation costs. Lastly, I will cover our outlook for the first quarter. We expect total revenue of $70 million to $80 million, adjusted EBIT loss of $115 million to $105 million, and that flows down to an adjusted net loss per basic share of $0.89 to $0.82. Now to give the top line some context, while wholesale is expected to be lower overall, we're working with our wholesale partners on product timing and expect some shift will occur from Q1 into Q2. However, the key point here is that DTC revenue growth is expected to be strong with comparable growth in the high teens to low 20s. I can underscore our confidence in this regard. Even this is a smaller quarter, we are pleased to see encouraging momentum in our DTC networks across all regions in quarter 1 as of Sunday night. Of particular note, Asia Pacific DTC comparable sales growth has just entered triple digits, granted that this is against easier comps, but we believe that there is no question that it signals brand strength and a good likelihood of sustained momentum as the region enjoys the full retail experience free from restrictions. Despite a tougher macroeconomic backdrop in the U.S., our new stores have still managed to approach or exceed our sales-sensitive targets. More stores to come here this year as we are significantly underpenetrated, and we have so much demand to cover. We have seen EMEA retail progress meaningfully. We look forward to seeing these stores further establish their presence. You heard us talk about our confidence and ambition in February for this business. This year is step 1 of our plan, and we are so excited for the year ahead and beyond. There is no shortage of opportunities we plan to seize and we're ready. We're focused on executing on our strategic pillars, on our luxury brand positioning and on implementing our transformation program to generate profitable growth consistent with the goals we set.  And with that, I'll pass it over to the operator to begin Q&A.
Operator: [Operator Instructions] Our first question comes from Oliver Chen with TD Cowen.
Oliver Chen : Dani and Jonathan, you had really encouraging momentum in China. How does that proceed relative to your expectations? And what's assumed in terms of the guidance, it looks like it's trending better, but I'm sure there's different factors around the volatility. And then previously on the U.S. you saw some conversion rate issues. It sounds like the U.S. is still cautious. Are you expecting a fair degree of volatility to continue in the U.S. And then lastly, just as we think about gross margins and the overall year ahead, what's embedded in terms of price increases and/or things we should know that may be recurring or nonrecurring in terms of key overall or specific drivers?
Dani Reiss : This is Dani. China, we're really encouraged obviously, by our fourth quarter, as you know, Q3, when the lockdowns and Zero COVID was lifted, that really impacted us in a negative way because of the timing of that, and we really saw that rebound in a very strong way in Q4, and that underscores our belief in our brand and our brands, right, in the Chinese market. We've got a good number of retail locations in China at the moment. And we expect the operating environment there to continue to be better, and we're excited about the year ahead. I think that -- yes, I think that when looking at the United States market, it's rebounding nicely at the end of the fourth quarter and into Q1 of this year. And so we're very optimistic about that. Lots of opportunity in white space in the United States. And yes, Carrie --
Carrie Baker : Yes. I think I mean tons of opportunity. Again, I said this before, we're still really early in our journey. We've got lots of stores planned. There's lots of upside, I think, on e-com. We are treading carefully, the macro environment still is what it is in the U.S. So we're being conservative, but there's plenty of upside and reason to be optimistic.
Jonathan Sinclair : And I think when it comes to gross margin, we have a very established way of managing this. I always refer to it as our algorithm. We keep our channel margins more or less in balance certainly, over the course of the year, you get a bit of the noise quarter-to-quarter. But over the course of the year, we expect them to stay in balance. We typically see pricing mid-single digits over time, maybe it's mid- to high at the moment. We fully expect our gross margins to stay where they are in terms of the channel split of them, and we don't see any particular headwinds there. Obviously, there will be some impact of channel mix in the overall consolidated gross margin.
Operator: Our next question comes from Brooke Roach with Goldman Sachs.
Brooke Roach : I was wondering if we could dive a little bit deeper into the assumptions that are embedded at the high end versus the low end of the revenue guidance range. Is the largest swing factor still driven by China as it was in FY '23? And as you think about the sequential stabilization that you've seen in North America in 1Q to date, is that -- are you forecasting organic growth in North America for the year?
Jonathan Sinclair : Thanks, Brooke. I think the way to think about this is that the range is clearly all about DTC, with it being the vast majority of the business and the order book being set, inevitably that's true. The range I think a good part of it will be in China, but only because a good part of our DTC is in China. Equally, that range applies to other markets. And you see that in the way that we've articulated the guidance and the assumptions around it in terms of the DTC ranges. What I will say is that we are expecting some comparable growth in all of the regions. And therefore, that by definition, extends to the U.S. And I think that that's a fairly responsible approach to all of this. We don't see this as something that's got a very audacious assumptions behind us at all. We think this is appropriately pitched.
Dani Reiss : Yes. And maybe I'll add a little bit of context, high-level context around the assumptions. We're assuming also a guidance that international tourist levels remain more or less at the levels are right now. We're not forecasting or anticipating them to go back to pre-pandemic levels at this point. So that's -- in that regard, we've taken the cautious approach, and we believe the responsible approach to how we've guided and I think that's an important upside to note.
Jonathan Sinclair : What I can add to answer is also that we are seeing very healthy comps at the moment. And I shared the -- in my prepared remarks, some context around what we're seeing in Asia Pacific. But actually, we're encouraged by what we're seeing in all of our regions.
Operator: Our next question comes from Ike Boruchow with Wells Fargo.
Unidentified Analyst: This is Kate on for Ike. I guess I was hoping you could elaborate on the growth you're seeing in Asia Pac. You noted triple-digit comps quarter-to-date. I guess honing in on China, are you seeing productivity in the region approach or even exceeding pre-COVID levels? Just trying to get some context there. And while you are noting the expectations for growth -- comp growth in the region in FY '24, what are you thinking about in terms of productivity relative to pre-COVID levels? And then I have one follow-up.
Jonathan Sinclair : I think -- so pre-pandemic, as you may recall, is a very difficult conversation for us because pre-pandemic, we had exactly 3 stores in Mainland China and -- in Shenyang, Beijing and Shanghai. So it's not very easy for us to describe that. But what I will say to try and give you some context, I mean, certainly, as I look down the list of the store performances. The one thing I will say is it's we've got a very healthy spread between double digits and triple digits in terms of every single store. -- that's growing. And I would also remind you that in the method by which we calculate all of this, we exclude from this year, sales on days where we were closed last year. So therefore, we don't have -- we're not giving ourselves a super easy base, even if obviously the numbers are smaller and traffic was heavily impaired. What -- I think as we look at the sales density, the productivity from the stores and the different regions, Asia is top of the tree. And that's really encouraging to us. We're seeing really strong performances there. The economics are robust and we're very encouraged by that. At the same time, we're also seeing good, strong overall performance in our sales density which keeps us at and above our guide, our passmark if you like, for [indiscernible] that I shared on --
Unidentified Analyst: Okay. That's really helpful. And then, Jonathan, just as we're thinking about the EBIT progress through the year, you gave some comments in the release about how we should think about revenue seasonality throughout the year. How should we think about EBIT seasonality through the year, especially just given you guys are anticipating some EBIT margin decline in Q1, that would be helpful just from a modeling perspective.
Jonathan Sinclair : Yes. I think realistically, Kate, you're going to see the EBIT margin being very heavily driven by the DTC performance. And that inevitably skews it into the second half. And that's the way to think about this. And you've seen it in Q4, albeit off small numbers, but you see the margin coming up from the trend that we were seeing before. And I think that the reality is that we -- with the majority of our DTC business, probably always going to be in the second half of the year, given the nature of what we are, then I think you're always going to skew as the productivity increases, you will skew margin growth in the second half of the year?
Operator: Our next question comes from Jonathan Komp with Baird.
Jonathan Komp : Jonathan, I just wanted to follow up on your thinking around the EBIT margin guidance for the year. And I know in the past, you've talked about incremental flow-through rate in trust revenues driven by the DTC business. So -- could you maybe just give us more context this year, maybe why you would see more positive developments in the EBIT margin? And if you could maybe just quantify some of the investments you're making in the various growth initiatives you outlined?
Jonathan Sinclair : I think the way to think about this is that we're making investments in different areas, whether it's in talent, whether it's in technology, obviously, in the stores themselves. We've got a heavy store opening program this year. And once the stores are open, they're very profitable, we've also got to think that, that comes with a bunch of preopening cost, which we've absorbed these days into our operating cost base. And we reached that conclusion last year that we needed to address that. I don't think any of this affects the underlying economics and earnings model that we're talking about. So what do I mean by that? We talk about a 40% plus margin in our stores. That's where we end up. And that's certainly the way in which we got them through in terms of new stock proposals. So the fact that we still make double the revenue and triple the profit in DTC versus in wholesale remains the case. And therefore, at the margin, it's always going to be accretive. It's just that we have a disproportionate burden this year of opening 16 stores and 16 stores is 1/3 of our retail estate in a minute. So that's a fairly significant number.
Dani Reiss : Yes, I'll add to that. And similar to my last point is we do have a lot of stores that are open a lot of our stores that we opened, we opened during COVID and the opportunity to see them operate in their full potential is a very exciting opportunity. And obviously, we had -- and we continue to have very high expectations for all of our stores once traffic returns back to normalized levels, which is yet to do, and that's -- those are numbers that are not built in --
Operator: Our next question comes from Robert Ohmes with Bank of America.
Alex Perry : This is Alex Perry on for Robbie Ohmes. Just first, can you talk about how we should expect product mix to impact gross margin this year? -- especially with the sneaker launch and the accelerated growth of the non-down categories. Maybe just give us a little color on sort of margins by categories versus the heavyweight down products? And then I have a follow-up.
Dani Reiss : Yes. Thanks for your question. Overall, I don't think -- our new product categories are not going to negatively impact our margins in any way, you mentioned sneakers and other which is -- we're very excited, but most of those have been around in the spring or summer. And these are small categories at this point. So their margins are not material to our overall margin. And by the time these categories become material, they will be in line with the rest of our margins -- that's the way we build new categories. And we're very excited about all of our new categories, which are performing well. All of our apparel, in particular, including fleece and has been doing really, really well across all geographies, and that's very encouraging for us. Footwear is also -- from a nice base, small base, has grown quite nicely, and we're excited about the future for footwear as well.
Jonathan Sinclair : I think one of the questions that we've been asked over the years, and it's a very important question is as we develop the business beyond just heavy weight down, can we sustain the gross margins? And I think the answer as far as I can see it, is absolutely because if you think about it today, we've always said mid-70s, mid- to high 40s is the right way to think about our gross margin split between DTC and wholesale. And that's where we are. And yet heavy weight down is now less than 2/3 of our total business. So by definition, we're doing what we said we would, which is to balance the gross margins so that we keep them in the channel, and we reinvest the tailwinds that we create in the product development, both in new and existing categories to keep the earnings in balance. And so I think that you can take a lot of comfort from the fact that this isn't a sort of a single point in time statement, but this has been proven over a number of years now that we've held the margins in the same place, while we've been growing the business and diversifying the products of it.
Alex Perry : Perfect. That's really helpful. And then just my follow-up is what do you think is driving the strong exit rate in the U.S. and at the end of the quarter and then quarter-to-date? And then what is sort of expected to drive the comp store growth in the U.S.? Is it the sort of momentum you're seeing in the new products? How are you thinking about comp store growth in the U.S. for the year?
Jonathan Sinclair : I think we -- the way we think about it, and I'll start -- and Carrie, probably add something to this. But the key here is that, yes, we're on an improving trend in the U.S. We reported that the end of Q3 was difficult, the beginning of Q4 was difficult. And it's been gradually improving since. We're not being super ambitious for this year in the U.S. We're looking at the impact of pricing and probably else because we think that for this year, the market is going to be a little bit more challenging in the U.S. because of the macroeconomics.
Carrie Baker : Yes. I'll just add that to product mix, we're seeing good healthy response to new categories, as Dani was talking about, apparel is growing really well. Footwear is growing well. Again, we're not counting on international tourism coming back, but there's -- we're seeing momentum both in store and online, which is great. We have every reason to be optimistic, but we're not counting on that as we grow. In terms of when you look at the store, what we're also excited about is just the number of stores. We talk about our Quest West a lot. That is -- you'll see that in action this year. We're opening new stores in new climates with new customers, attracting that -- a different customer that's looking for maybe a different product. So we're excited to see how that is already starting to come to fruition.
Operator: [Operator Instructions] Our next question comes from Mark Petrie with CIBC.
Mark Petrie : Jonathan, first, just hoping you can clarify the comp assumptions and the outlook. I think in the Q&A, you said you were expecting positive comps in regions. But then I think in your script, I think I heard a comment about negative low single-digit comps ex China. So I'm just -- I'm sure I'm hearing something wrong, but if you could just clarify, that would be helpful. And then I have a follow-up.
Jonathan Sinclair : Yes. I think there is a -- so we're talking about robust assumptions on our comps for both in Q1 and for the full year. And what I've said is you should expect sort of mid-single digits, mid-teens for the full year. And if you back out China from that because, obviously, China is very much faster-growing geography and in China, then what you're looking at is a range of low negative to high single digit comps positive. And you may not have heard the positive in what I said for the range outside. And so -- and this is what I was describing in answer to an earlier question, which is we don't just see the range this year applying to China. But because of the macro, we think the range probably applies to other DTC geographies as well.
Mark Petrie : Yes. That's helpful. And I guess it's probably a bit of a tough question to answer just given sort of the expected shifts in your business over the next few years through your outlook -- through your aspiration period. But at a high level, can you just talk about how your store productivity assumptions for fiscal '24 would compare to what you've embedded in your fiscal '28 targets?
Jonathan Sinclair : Well, by definition, they're a step on a journey. So I've talked today about the fact that we are above our benchmark of $4,000 a square foot. And I have talked about the fact that we're looking for comp growth being positive, but we do not see that as an end at the end of this year. That for us is something which we see as a repeating mechanism or a repeating way of growing the business year-over-year-over-year. So if you think about the rate at which we're growing this year and you flow it through, the chances are that, that's a sort of way to think about how we develop this business between now and, say, fiscal '28.
Dani Reiss : Yes. If I may just add to that, I think that we clearly, we expect that as we move forward towards fiscal '28 and even sooner than that, we expect to see our stores continue to perform better and better. And that's primarily due to -- well, one of the major factors is due to the return of international tourism back to its full -- back to the full state it was pre-pandemic. I don't know if you recall, we were approaching 25% EBIT margin at the time. And once tourist activity returns to that level, again, there's no reason why we wouldn't be right back at that same margin percentage. And so we, at this point, are not predicting that's about to happen this year, but we definitely imagine that as the years go on, those numbers will come back in that kind of way.
Operator: Our next question comes from Samuel Poser with Williams Trading.
Samuel Poser : I just have 2. One, can you – Jonathan, can you just give us the interest expense for the year and for the quarter? And secondly, -- you had mentioned when you took over the Japanese when the Japanese business changed that it wasn’t doing quite as well as what you anticipated. I wonder if you could give us an update on Japan.
Jonathan Sinclair : By all means. So the right way to think about our financing costs this year is sort of – we’re talking about and about the mid-30s. It gets a bit of noise in the because we – there are various mechanisms we have to market for the Japanese business and some of that flows through there. So – but if you like, on an underlying basis, that’s the way we think about it. Japan, again, I’ll go back to a few comments and we’re very encouraged. It’s – it actually came in slightly above where we thought. I mean we reduced our expectations. And when we talked last time around, we came in, in the low 50s in terms of the size of the business last year. We’ve got great plans for this year. It’s going great guns, more stores coming online. So we’re very excited to see that business develop. It’s a market in good growth, the economics point in the right direction, and we’re very excited about achieving our goals there together with our joint venture partner.
Operator: Thank you. And this concludes today's conference call. Thank you for participating. You may now disconnect.